Operator: Good morning and welcome to the United Rental's Second Quarter 2017 Investor Conference Call. Please be advised that this call is being recorded. Before we begin, note that the Company’s press release, comments made on today’s call, and responses to your questions contain forward-looking statements. The Company’s business and operations are subject to a variety of risks and uncertainties, many of which are beyond its control, and consequently, actual results may differ materially from those projected. A summary of these uncertainties is included in the Safe Harbor statement contained in the Company’s earnings release. For a more complete description of these and other possible risks, please refer to the Company’s Annual Report on Form 10-K for the year ended December 31, 2016, as well as subsequent filings with the SEC. You can access these filings on the Company’s website at www.ur.com. Please note that United Rentals has no obligation and makes no commitment to update or publicly release any revisions to forward-looking statements in order to reflect new information or subsequent events, circumstances or changes in expectations. You should also note that the Company’s earnings release, investor presentation in today’s call include references to free cash flow, adjusted EPS, EBITDA, and adjusted EBITDA, each of which is a non-GAAP term. Please refer to the back of the Company’s earnings release and Investor Presentation, to see the reconciliation from each non-GAAP financial measure to the most comparable GAAP financial measure. Speaking today for United Rentals is Michael Kneeland, Chief Executive Officer; William Plummer, Chief Financial Officer; and Matt Flannery, Chief Operating Officer. I would now turn the call over to Mr. Kneeland. Mr. Kneeland, you may begin.
Michael Kneeland: Thanks, operator, and good morning, everyone and thanks for joining us on today's call. We would like to cover today starting with a strong second quarter. Our results reflects some of the best fundamentals we’ve seen in the years. Some of that external but a lot of it comes from executing well at the Company. I also want to talk about market demand, which has been stable at the high level. And we have some thoughts on how 2017 and 2018 will play out and then as the guidance that we gave an update last night. So let's start where we are today. Now I want to mention four metrics that are especially meaningful and then Bill will discuss them in detail for the quarter. Now, our metric is our volume, pro forma for NES volume in the second quarter was up 6.6% and we have a similar increase in the first quarter which points to a healthy marketplace. Rates another good story, we achieved positive rates trend across our business in the quarter with sequential improvements each month, and we're close to being positive on our rates year-over-year, but don't expect us to rest. rates will continue to be a major area of focus for us. Our employees understand how critical it is at this part of our strategy. Importantly, the gains around RATES, we also increased time utilization to a new record of 69.4%. This is the highest time utilization of any second quarter in our history. In fact, each month set a new record. And finally, our free cash flow. Through June stands at a robust $614 million, which is right on-track and that's after $968 million of growth CapEx spend. These are excellent metrics that show how effectively we are running the Company. Our people look at everyday managing the business with discipline right to the height of the NES integration. So one thing you will notice as we go through the call is that we're no longer talking about standalone NES in United Rentals. While the integration is ongoing, we are now operating at one organization. And we have made a great deal of progress on a $40 million of cost synergies we identified in April as Bill will discuss. So I'll give you some of the operational milestones. The back-office sale and operating teams are now fully integrated and the branches have moved onto our management systems. We're in the process of training our new employees on salesforce.com and our rate management tools. We're rolling out right optimization technology for deliveries and a special training is underway. We're also installing Telematics on the acquired fleet and we're about 10% through the retrofit program with Telematics installed on over 2500 machines. But one of the most important parts of the integration has nothing to do with equipment. Back when we bought NES we noted that our two companies share a strong sticky culture. While I'm pleased to say that last month. We had the safest June on record. We recently finished the series of [town homies] (Ph) for over 1000 employees in our combined Company. For some, this is the first Town Hall and their first chance to meet Company executives. And we opened these meeting to comments on safety, operational excellence, technology and communication and as always our employees are not shy about forcing their opinions. I was pleased to see so many different prospective put out there and we're always willing to change how we do things if there is a better way and the Town Halls help us schedule it. So NES has turned out to be a strong fit and we bought them at the right time. Now our performance this quarter was about more of an NES, our entire industry is in a growth cycle. Customers need more equipment and we’re in front of them with a bigger fleet and a larger footprint. Key indicators such as the Dodge Momentum Index, the AVI and construction backlogs are all positive. Spending on commercial construction remains strong and to forecast of the U.S. equipment rental industry overall has continued growth over the next few years. Two former drags on demand have turned the corner, one is upstream oil and gas where the inflection point we saw last quarter has been sustained and the other is Canada. Western Canada seems to have stabilized and eastern provinces are going strong. Internationally rental revenue was up 7.3% in the quarter and volume was up 8.8% with improving rate trends. That’s the strong as growth we seen in Canada and eight quarters. In the U.S. our largest revenue gains continue to come from two coast, in New England for example, more than $5 billion of large projects are either starting or ramping up in the third quarter following a strong spring. These range from Casinos and plant expansions to office complexes. In the West we're seeing multiyear project for entertainment venues and large corporate campuses. And in the South East, its automotive plants, data centers, infrastructure and manufacturing. Another fourth indicator is our customer confidence index, in June the level of optimism remains strong with a maturity of our customers indicating that they expect our business to improve over the next 12 months and we go right to the same conclusion. In our opinion the cycle has substantial runway ahead. Now turning to specialty, our Trench, Power and Pump segment continues to outperform underpinned by strong organic growth. In the second quarter, the segment revenue increased 19% year-over-year primarily on same store basis and gross margin improved by 250 basis points to 49.6%. Our Pump Solutions business had now standing showing with revenue up more than 37%, some of this is due to the rebinding upstream oil and gas, but they are also getting traction on other verticals. And we will continue to expand our specialty network with a total of at least 17 cold starts this year, seven of those are operating now, bringing our specialty footprint to 224 locations out of a total of 960. Our specialty cold starts tend to hit the ground running in part because many of our existing accounts needs solutions that are outside the scope of general construction. This helps to differentiate us a premium rental provider. Four years ago, in 2013 specialty accounted for 10% of our rental revenue in the second quarter. This year, the number was 19%, so specialty rentals are becoming increasingly important to our business. Another initiative is well tie in for the up cycle is Project XL. Project XL is a tool kit of work streams focus and driving improved profitability and we are targeting $200 million of run rate by year end 2018. All the pilots are complete and we are phasing them into the operations. And before I hand it over to the Bill, I want to spend a minute on guidance that we issued yesterday. It raises our 2017 outlook for revenue, adjusted EBITDA, capital spending and free cash flow. We are confidence that the market will support our higher expectations for revenue and EBITDA. And we've allocated another $100 million of CapEx to make sure that we can meet that demand. It helps to our industry continue to be more disciplined about repurchases and the supply of available rental equipment is being absorbed into the marketplace. And when we look at third-party data, we're encouraged by the broader industry is getting rates improvement as wellness growth and demand continues to outpace and supply, our rates dynamics are likely to benefit. I think my core comment this morning to convey not only the broad scope of the opportunity we had, but also how well positioned we are to take advantage of it. The decisions we make are designed to balance growth with margins, free cash flow and returns to maximize our long-term value. In the second quarter, we showed that we can achieve this balance across the business. Now as we entered the busiest period, we see even more potential to convert our strategy into value for our shareholders. So with that, I will ask Bill to cover the numbers and then we will go to Q&A. So over to you Bill.
William Plummer: Thanks Mike. And good morning to everyone. As Mike said, we got a lot of information this morning on the second quarter, a lot going on in the quarter. I'll try to give you normal color on the information that we usually report. We have also had lot of questions about NES and the impact there, so we will try and carve-out where we can information there that would give you sense of how NES is going for us. Let me start though as usual with rental revenue in the quarter $1,367 million was up and $163 million or 13.5% over last year. The components driving that were I will start with the ancillary revenue had a good quarter there with ancillaries adding $21 million over last year really driven by volume partly from NES, but just the raw volume of the more fleet on rent as well as the higher revenue from delivery and fuel associated with rentals. Re-rent was a positive too year-over-year, basically volume related there as well, but the bulk of that $163 million was the owned equipment revenue growth, within that $140 million from OER growth, $181 million contribution from volume, so really strong quarter in getting mostly on rent. RATES cost is about $13 million of decline year-over-year that from the 1.2% reported decline in rental rates versus last year. Our replacement CapEx inflation was $16 million in the quarter and then at left $12 million of unfavorability from mix and all other and there is a lot going on within the mix and other column this quarter, you will see that when we get through the bridge for EBITDA year-over-year, the addition of NES as well as other mixed factors like class and period mix. So those are all the key components to the revenue change year-over-year. Let me just take a minute to say a little bit more about our rates for the quarter and the impact of NES within that rates. It's a very difficult question to try and address how much the NES impact our rates for the quarter. Obviously the 1.2 as reported decline in rates reflects the fact that we didn't have any extra in the last year period, but we did in this year. And as you all know and you've heard us say before NES rates came in lower than United Rentals’ rates and so it's had a drag affect on the reported 1.2 decline. You can see that by comparing that 1.2 decline to the pro forma rate performance which was a 40 basis points decline, with pro forma being defined as NES was put into the last year period as well as this year period. So that difference just gives you a sense of how much the addition of NES rates weigh down the as reported number. When we dig in and try and identify exactly what happened to the NES rates period-over-period, what happened to the legacy United Rentals rates period-over-period. It becomes very difficult to really carve things out that way. We’ve integrated NES very rapidly, the fleet has moved tremendously, we’ve consolidated branches and all of that just makes it really hard to say what is NES and what is United Rentals. But we still want to give you an indication, so what we did was we look at the regions in our business our U.S. gen rent business, where there was no NES impact. And we had three regions where there was either exactly zero or very close to zero impact from adding NES. Our pack west or Midwest and our south regions. For those three regions, when you look at their year-over-year rate performance, they were down three-tenth, very similar to the overall pro forma decline of the total company. So that gives us a sense that we were moving rates effectively in the right direction, both for areas that were impacted by NES and areas that were not. In fact if you look at the months of the quarter and look at the monthly sequential rates for those three regions combined. Those are pretty solid month, they had an April sequential of 20 basis points positive, 70 basis in May and 120 basis points in June. So nice improvements in rates even away from where we had impacts from NES. Hopefully that gives you a little bit more flavor for what the rate picture looks like both in the areas affected and the areas not affected. Let me move down to used equipment sales. $133 million of used proceeds in the quarter that was essentially flat with last year and delivered an adjusted gross margin of 52.6% which was up robustly 4.8 percentage points versus last year. Here again, there is an impact of NES, we just wanted to try and call out for you. Within the 133 of proceeds was included $15 million of proceeds from the sale of what had been NES equipment. That accounted for about $32 million of original cost equipment from NES sales. That NES sales impact we estimate at something like $6 million of benefit to the adjusted gross margin. So that will give you a sense of what happens when you are selling the NES fleet, which as I'm sure most of you know typically is older fleet, they operated with an older average age of the fleet, so it generated more robust margins than maybe we would have got out of our legacy United Rentals sales. They also had a more rapid depreciation schedule that also contributed to the book value being lower and therefore the contribution to adjusted profit from use being higher. All of the sales continue to happen in a robust market environment, our pricing experience is still pretty good within United Rentals and that compares to market pricing that our indication is still pretty good as well. In fact in the quarter, we sold equipment at a little over 89.5 months of age and we still realize 54% of the original cost for the sales this quarter. So pretty robust pricing environment for used equipment sales overall. Let me move to our adjusted EBITDA performance in the quarter $747 million in the quarter that’s up $68 million compared to last year and the components of that $68 million increase were as follows. Volume, again the big story, $121 million positive over the last year, only offset by about roughly $13 million of rental rate decline that I called out in the revenue bridge. The ancillary gains contributed about $11 million at EBITDA and they were just about enough to offset the fleet inflation headwind that we normally experienced, that fleet inflation was about $12 million of headwind in the quarter. Used equipment sales year-over-year contributed $7 million, we did have our normal a merit increase that was a headwind of $6 million, we did also in the quarter have a bonus accrual increase as we adjusted our bonus programs to reflect the better performance of the Company year-to-date and what we expect for the full-year. That increase in bonus accrual cost us about $14 million compared to last year. Earlier in the year we said that - back in the first quarter we said that we thought that the bonus accrual adjustment this year would cost us about $27 million over the entire year, our view now is that it will be more like a $38 million impact for the entire year compared to last year and again that’s reflecting the improved performance of the business overall. The last piece of the bridge to %68 million was mix another and that’s a complicated story, this quarter given the addition of any of NES fleet and NES transactions to our results. NES revenue came in at a lower average dollar yield. NES revenue came in with all of the NES fixed cost and all of those things count against the mix and others. So mix and other was a decline year-over-year of $26 million versus last year which made up the last piece of that $68 million year-over-year change. Let me take a minute here to try and carve out the impact of NES at revenue and EBITDA just to give you a sense of how its playing through the quarter. Again, I’ll emphasize that this is a very challenging thing to do because of the integration. But what we did here was to look at the individual assets that were brought in with NES acquisition and track those assets to get a sense of the revenue they generated during the quarter. So when you do that you get a rental revenue impact from those assets of about $87 million, so obviously you can debate all day whether it is just tracking the assets will give you the real revenue impact of adding NES, but we think that's the fairest way that we can think of to try and categorize what the revenue impact is. So $87 million of rental revenue impact and then beyond that we'll add to at the $15 million of used equipment revenue that I called out earlier and then we had $3 million or so of other revenue gains from the NES addition. So all together that's $105 million worth of revenue that came with NES acquisition or were the direct result of the acquisition. It gets harder to say what that means in adjusted EBITDA terms obviously because it get's difficult to allocate cost and to carve them out specifically to NES exclusive, right it's easy to do in an NES location, but when the fleet moves, how do you allocate cost? Still we took a turn at it just to have a framework for thinking about the EBITDA impact and we come up with the number that's about $46 million of adjusted EBITDA that we would attribute to NES. So $105 million for revenue and $46 million for EBITDA. If you look at the flow through in the quarter, our flow through for the total Company was 38.6% year-over-year and obviously if you use those any NES numbers for revenue and EBITDA you can back those out to get a sense of the flow through of the Company when you exclude the NES impact. That number calculates out to about 31% flow through in the quarter and I know some of you are thinking okay 31% that's not great for the business ex-NES what is going on. Well I remind everybody that that flow through is impacted by the rate performance of legacy business, it's impacted by the differences in used equipment sales this year compared to the last year, its impacted by the differences in the amount of other lines of business revenue and profitability this year versus last year and of course it's impacted by the $14 million of the incremental bonus approved that I talked about previously. If you take an estimate of all of those factors which we did and add the back as appropriate to the legacy URI business, you get to a flow through that looks lot like 50% that we've always talked about. So our feelings bottom line is that the business is performing well both for the legacy URI business and the NES’ added business and we are going to continue to look for improvement still. Let me move really quickly to cash flow, free cash flow in the quarter was $614 million as Michael pointed out excuse me that's year-to-date, as Michael pointed out that's down from last year by $178 million, the big driver there was the increase in rental CapEx, our gross rental CapEx was $913 million year-to-date period and that alone was up $190 million. So that was the biggest driver, there were puts and takes in other areas obviously EBITDA improved, our interest expense improved, but our cash taxes went up as the you all remember that we burned up for NOLs during the course of the last year. That cash flow picture brought our net debt for the quarter - at the end of the quarter to $7.9 billion that was up from last year and it was up from where it was at the end of the last year and the primary driver of the increase obviously was the addition of NES, the purchase of NES offset by the free cash flow that we've generated so far year-to-date. Let me touch on Project XL real quickly. As Michael mentioned, we're making good progress there. We have the eight work streams well underway, some of which had pilots ongoing that now have been completed. And we feel good about what they are delivering in terms of the impact versus what we had in our targets. We took a turn at giving you a little bit more information about two of the work streams in our Investor deck. I'll point you all to that page and those work streams, one would to growth and infrastructure vertical and other is just continuing to drive our labor productivity. And certainly we can address in the Q&A if we have questions. But the big message is that we're on-track to deliver the $200 million impact from these initiatives that we talked about at our Investor Day that run rate by the end of 2018. I will remind you, I said this back in December, this is not $200 million of incremental EBITDA that you can just add on top of what you otherwise would model. Some of these initiatives are part of how we're going to continue to drive profit improvement in our Company and so you need to carve out which ones are add-ons and which ones are just part of the ongoing base business and as we get further into them we'll talk more about how you might frame that. The NES integration just real briefly there, it is going gone very well as Michael mentioned. We're on-track to deliver the $40 million of cost synergies by the end of 2018 that we called out at the deal. And based on the actions that we've actually taken so far this year, we would say that we've realized in the second quarter about $2.5 million worth of synergies from those actions. And the run-rate as we sit today is nicely on the path we delivering that $40 million by the end of this year. We should realize this year something between $15 million and $20 million of actual impact in 2017, and again that's including the $2.5 million that we've already realized in the second quarter. So well on our way on the cost synergies. By the way also on the procurement savings that we called out, we gave $5 million to $10 million range at the deal, and we believe we'll be at the higher end of that range when it's all set and going. Let me finish up real briefly with our guidance, you've all seen the numbers so I won't repeat the numbers. But just looking at the midpoint changes for a total revenue and adjusted EBITDA. Total revenue went up to $175 million adjusted EBITDA of $78 million at the midpoints. The big driver of both of those increases were rate and volume out there. Obviously you see it in the numbers in the bridges for second quarter and year-to-date, our expectation is that those will continue to be a big drivers for the remainder of the year. There will be puts and takes of other ins and outs, but it's really going to be a story about rate and time. The $100 million of gross capital that Michael mentioned that we're adding, we added to both ends of the range, but you really should think about $1.6 billion as being our focused target for CapEx this year and obviously as we always have we will be very mindful to not spend that if we're not seeing the performance of the business shape up the way that we would like and neither we'll be afraid to come back and move it higher if we see the business performing better than our expectation right gearing that. And then finally on free cash flow, the $25 million increase just reflects some refinements of our estimates as we refine our views of cash taxes and working capital are probably the primary changes along with the operating profitability improvement that we pointed to. It’s a lot, I know but we certainly wanted to give you as much as information as we could in a complex forward. It was a good quarter though and one that we're very pleased with and look to continue that momentum as we go into third and fourth quarter. So with that I'll stop my comments and ask the operator to open up the call for questions and answers. Operator.
Operator: [Operator Instructions] Our first question comes from the line of Ross Gilardi from Merrill Lynch. Your question please.
Ross Gilardi: Thanks good morning guys. This time last year you guys got a little bit of pricing for a couple of months and then it just sort of attracts seasonality for a while. What if anything is different this time and why?
Matthew Flannery: Hey Ross this is Matt, it’s a fair question and one that we've asked ourselves to make sure that we maintain the momentum. I would say what is different is a couple of things. Number one and most important the demand environment and not just for us the work we're seeing in the industry, information that we're looking at looks like absorption continues to drive positive in the industry which is a good indicator. The other things is the record time utilization that we’re experiencing and then thirdly we have growth this year and we didn’t have this kind of growth and whether you want to use the stand alone or the pro forma number that that was not really the same story last year. So there is a lot of indicators as well as a strong end market macro environment that we feel should be very, very helpful to maintain momentum that we had versus last year.
Michael Kneeland: Ross, I would only add that last year we were going through really still adjusting to the fleet and balance and we're in a much better place in the industry today.
Ross Gilardi: Got it thanks guys and then just a follow-up, you guys have acquired NES and there seems to be a lot of midsize M&A happening, I mean does it feel like we're on the cost of a more substantial wave of consolidation in this space.
Michael Kneeland: Ross you know I've already said that the consolidation would continue to play out inside of our industry it's very fragmented. I think it speaks more to people have strategies as we do and they all do as well. The market cycle, I think it speak volume that their belief the market cycle is still there. And I also sit back and say from a strategy point and from an industry point of view, having increased professional management, I think will overall be a benefit to the industry collectively.
Ross Gilardi: Thanks Guys.
Operator: Thank you. Our next question comes from the line of David Raso from Evercore ISI. Your question please.
David Raso: Good morning. It's been probably 2.5 to three years since you had at the same time year-over-year growth and utilization rate and CapEx, it looks like we're about to - we are on the cuts of getting back to that. Given done that since like 2013, 2014 and you're doing 60% incremental EBITDA margin. So as much as I appreciate pull this out pull that out, you say we're kind doing that right now. But still it is what it is, incremental right now or 30% to 40%, 50% that want to pull out the bonus accrual, but still the power of having those three things going the same direction into 2018, can you try to handicap for us how we should think about incremental EBITDA margins and why they want to be materially stronger?
William Plummer: Sure Ross, I think materially stronger obviously would be the result of all of those things going together throughout 2018 as you said and rate will be an important driver there, how much of the a rate improvement could we see in 2018 as that would be the critical question about how the flow through might transfer out. Look I mean the analysis that we did, there a lot of assumptions to it, so I don’t want to go too far with the specific about 50% statements that I made. But at the same time if we get rate to be mildly positive, if we continue to improve utilization, although that's big given the record nature of what we are doing now, but daily improve it just marginally and we are putting more growth capital into the business again that's an assumption not saying we are there yet. But all those things are lining up, 50% is I wouldn't say a given, but it's certainly the starting point of the discussion about where flow through could go next year. All of that of course need a market that will support all the assumptions that I just went through.
David Raso: Yes I’m just trying to set up a base case, I mean to push back could be well back then you were getting a lot of rates in some utilizations that mix next year is probably hard to assume the same kind of rate growth that you had back then, but that said you also have some farther for cost improvement with NES and so forth. So not to ask you to give 2018 CapEx guidance right now, but can you help at least sort of frame how we should be thinking about growth CapEx or total CapEx however you want to describe it for 2018 just for base case.
William Plummer: Yes, David, it's still early for us to be thinking about that, we are talking about that, we are certainly thinking about it as we speak, but I would say that the momentum this year continues into late into the year, I think it's very reasonable to say that 1600 is the starting point for the discussion, all right and then we'll see where we go from there.
David Raso: One last quick one then Bill, in the month of June alone, we're talking pro forma on rental rates, were there any regions or how many regions, what percent of the regions actually already positive on rates year-over-year, for just the month of June pro forma?
William Plummer: For the month of June pro forma year-over-year, I can quote the sequential, but the year-over-year in the month of June, looks like it's five of regions that were positive and four of the ones that were not positive, another three or four were reasonably close to the breakeven.
David Raso: And remind us, you run the Company with how many regions exactly?
William Plummer: 13
Michael Kneeland: 13
Matthew Flannery: 13
David Raso: 13, so, basically five out of 13 up a few more kind of flattish and other ones are still the drag. Okay, I appreciate it. thank you very much.
Operator: Next question comes in the line of Tim Thein of Citigroup.
Timothy Thein: Great, thank you. Just to follow on that last point, can you quantify within the sort of what the two drags as you called out there, I guess not a region comments per say, but just energy and I guess you find that the braches that are in those heavy oil and gas regions and then I don’t know if you can extend that to upstream. But if you kind a bucket energies as a broad kind of segment, and then just Canada as a whole. Just given the movement in the currency, I'm guessing, we shouldn't just use the difference between the 73 and 88 that you outlined. So maybe just help us in terms of those two drag that you called out. In terms of what they detracted from rates in the quarter?
Matthew Flannery: Sure thanks and this is Matt. I'll answer the upstream conversation first. So as you can imagine, as we’ve seen land rig count continue to decline, our upstream businesses climb. So we were up 68% year-over-year in Q2. That brings us to just under 5% of our total portfolio. So to answer your other questions if you want to look at our total energy exposure, we have about 5% of our business in upstream. About a little less than 2% midstream and about 7% in the downstream business. So that that nets to a little under 12, technically 11.5% of what you would call energy exposure. And we're very, very comfortable at that level and we're encouraged to see the upstream and we've seen a lot of pickup in our pump business specifically in that sector as well as other verticals within the pump business. As far as Canada, our Canadian business is kind of tailored to cities, but all of the provinces actually had some growth. We're little bit more challenged in Alberta, when you look at the country as a whole, our rental revenue was up 7.3% and that’s almost 9% just under 9% volume, but still over 3% rate drag year-over-year on that business. But we feel really good about Eastern Canada and we feel that the other provinces in the Western Canada have bottomed out and some of the regions would follow a little bit. So we're encouraged by that.
Timothy Thein: Okay. And Matt, just can you remind us how quickly you would expect to re-price the NES book. And I'm guessing that a little shorter contract duration than maybe legacy URI. But can you just update us there in terms of the re-pricing opportunities with NES.
Matthew Flannery: Yes, we're not really looking at it as just re-pricing NES. We look at our pricing, it makes us a little bit unique as far as in customer buckets geographies and products. And so we're not really parsing out the NES, there are some key accounts with NES that we will treat probably a little more gradually just as we would our key accounts business at United Rentals. But overall, we're looking at these customers blended, we're emerging our rate zones, we're harmonizing our pricing and we're merging a customer accounts. So it won't be long before we only and really be able to identify that and NES and United Rates. We have a rate strategy as a Company that stays from the segments we talked about and we're going to deploy that across the board.
Timothy Thein: I appreciated it. Thank you.
Operator: Thank you. Our next question come from the line of Joe O'Dea from Vertical Research. Your question please.
Joe O’Dea: Hi good morning. First question just on the specialty side, and I appreciate that we're right on the heels of NES. But as you see in the headlines a little bit step up activity on the M&A front. Just what you are seeing on the landscape there in the 2018 plans. You had talked about back in December and that included some inorganic growth in specialty. And so maybe just kind of where you're seeing that environment right now?
Michael Kneeland: Well first and foremost, we don't talk about the acquisition other than the fact that we do have a robust backlog things that we're looking at. With regards to specialty as a whole as you can see going from 2013 to Today in second quarter from 10% to 19% and the growth capital that we're putting in there along with the cold start. We have a very firm strategy of growing that business and we’re going to continue to fund it. I think it differentiates us in a different way and our customer is obviously are very open to it. But we're always looking both for market opportunity, we're looking at potential acquisitions and we’re also looking at different product mix that we could do within the specialty group. So it's all the above, but it's going to continue to grow.
Joe O’Dea: Thanks. And then the in terms of just tone of the industry it looks like the survey results may be step down a little bit not sure if that’s just tying run up and then come back down. But and may be just kind of adjustment what we're seeing in a reported survey results and then in general kind of what you are hearing from customers and some other confidence that’s contributing to 2018 positively.
William Plummer: I would say we continue, whether it’s the customer index, whether it's any of macro data we looked at or whether its intelligence we gain on absorption of fleet and rate improvement in the industry, everything is pointing to a strong environment for the balance of the year and we see that playing into 2018. that’s the framework in which we’re making our business decisions and we really haven’t seen much to challenge that. There may be a pocket here and there by sector by vertical, but overall we’re very encouraged with the demand outlook for the future.
Michael Kneeland: Yes, just to be clear, our customer index if you are referring to that it is strong, March was unusually strong and therefore it may look like it was dropping but fact that it is very strong.
Joe O’Dea: Perfect. Thanks very much.
Operator: Thank you. Our next question comes from the line of Nicole DeBlase from Deutsche Bank. Your question please.
Nicole DeBlase: Good morning. So my first question is just around the revenue outlook and I know you guys are refraining from providing explicit rate guidance, totally understand that but is there any way you can kind of frame the way the back half plays out according to the low end and high end of your guidance with respect to like normal rate seasonality like this is a normal seasonal outcome, is it better, is it worst.
Michael Kneeland: Nicole as you can imagine challenging when we don’t want to be explicit about rate and time guidance. What I would say is that we’re not making heroic assumptions about where rates goes in the back half of the year in that revenue guidance. Its well within the range of sequential that assume as well within what we've done historically and so we feel like we got a comfortable set of assumptions there, that’s about as far as I think we should go.
Nicole DeBlase: Okay no doubt that’s really helpful actually and then secondly just around the CapEx, the increase in the full-year guidance. And can you just talk a little bit about like equipment categories or you know priorities of spending for that new incremental bit of CapEx.
Matthew Flannery: Yes Nicole this is Matt. I would say that it's going to be fairly consistent with what our fleet profile is, we’ll continue to put about 20% of that incremental capital into our specialty business and specialty will continue to grow a little bit faster than our Gen Ren, if you look at Q2 we think that will continue. When you look at the rest of the mix whether you’re trying to model whether it will more aerial or more dirt or more of the other, it will be across the board very similar to our fleet profile as a company.
Nicole DeBlase: Okay. Thanks, I’ll pass it on.
Operator: Your next question comes from the line of Seth Weber from RBC Capital Markets. Your question please.
Seth Weber: Good morning guys. Just going back to Tim's question first, is there any way to frame kind of what the starting point is here for the delta between URI's pricing and the NES pricing just so we understand kind of where you are starting yet and where NES prices could come up to? And also I would kind of tack on if there is an average length of NES contract.
William Plummer: Yes, Seth, it's challenging to think about of how to frame the impact beyond what we gave already, right. I think I recommended to somebody last night that if you sit down with a simple spread sheet and make some reasonable assumptions about what the share of business that NES contributes both this year and last year, you can frame out sort of in broad terms how to get to that four tens pro forma number and how that compares to the 1.2 as reported number. The actual assumptions that go into your spread sheet about sort of the relative rates of NES versus us, we’ve characterize broadly in the past as being double digits the difference, so that’s the starting point. Obviously with United Rentals being the premium and that gives you a sense of overtime how much of gap there is to bridge. How much that the gap we actually bridge and how quickly we actually bridge it, time will tell but that’s the feel that you are playing on sort of double digits kind of number that we are working to make sense for our customer base as you go forward.
Seth Weber: Okay. That's helpful Bill, thanks. And then there has been a lot of discussion around the industry about mix, right and big industrial contracts and what not can you talk about the competitive rate environment specifically going after these larger, bigger and longer term industrial contracts what that looks like today?
Matthew Flannery: Sure Seth, this is Matt, I mean it's depending on what markets you are in and what customer you are going after and the volume, these are always competitive. The good news is they don’t go out for bid regularly and we have been incumbent in many of these and that's gives us a lot of credibility. So we are comfortable with our positioning, it doesn’t mean that we should never take any of it for granted, and this business will always have somebody wanting it and that's part of being leader in the industry. There is always someone that wants what you have that's something new for us, it’s something that we very comfortable with and I wouldn’t call it out any more or less competitive in whether this is a national account sector or whether you are fighting to get more share in an MSA. So we feel comfortable with the level of competitiveness, we're encouraged by the level of responsibility from an absorption and rate improvement that we see in the industry as well.
Michael Kneeland: Yes, the only thing I would add to that is the harness is on us to make sure a value proposition is such that we meet or exceed our customer expectations and that's why when you talk about our specialty, you talk about the capital that we’re spending, you talk about the digital and things that we're doing for total control, finding ways to assist our customer to be more of a partner and finding ways to drive productivity and safety. That's what we need to do and that's what we need to keep focused on and we're very good at that and our team is really focused on it.
Seth Weber: Okay, all right. Thank you very much guys. Appreciate it.
Operator: Thank you. Our next question comes from the line of Jerry Revich from Goldman Sachs. Your question please.
Jerry Revich: Hi good morning everyone. I wondered if you folks can talked about how you are thinking about adding capital into the oil and gas impacted regions obviously big swings in the town and how is your risk appetite and capital deployment in those areas, can you just as we are clearly ramping up short-term here.
William Plummer: So Jerry, much of our growth has really come from absorption. As we had talked about in the past and probably the biggest example of it is our pump business. We made the decision a couple of years ago to hold on to some assets that we knew had a lot of life left in it. We mothball them, and we we're really getting the benefit of that decision today, when you see the type of growth that we're getting in that pump business. And those are types of decisions we made overall. We didn't expect to run 80% time use in the oil and gas markets. So when anymore accurate terms, so if we were willing to leave our footprint there, these feet enough to keep some capacity there, it gave us the opportunity to respond for this growth. And I think that's where we are today. We aren't having to dump a lot of fleet in there to drive that growth. And it feels good a little bit self congratulations here admittedly, but it feels good to have put in that faith and commitments and to be able to benefit from it.
Michael Kneeland: So that said, we learned lesson last time right and so we want to be mindful of how much of the business that oil and gas upstream activity represents and make sure that we're making a more balanced decision and more conscious decision this time around then last time it was just hey it's go, let's go. Nobody says that out loud but that was sort of the mindset. This time around we're saying okay, let's make sure that when we're putting fleet in it make sense both for right here now and what it means for this longer term.
Jerry Revich: Okay, thank you. And on that note I'm wondering if you could just frame the CapEx growth that you folks are laying out here over the balance of the year. Can you just give us a regional flavor which regions are getting an outside share of fleet growth. In other words where you folks seeing the strong growth?
William Plummer: It's very broad. I know we say that a lot, but that's because it's factual. When you look at it where maybe it's been a little more gated to the coast, but because they have been so hot. But it is very dry, its across the board. The folks in western Canada are probably getting the least of it for obvious reasons, because they has some fleet absorb. But everybody else is running real strong utilizations and really improvement throughout P&L and have earned that growth. And that's how we look at it. But you have to earn the growth and then we allocate it. the team has done good job very broadly.
Jerry Revich: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Nick Coppola from Thompson Research Group. Your question please.
Nicholas Coppola: Good morning. So I wanted to follow-up on the NES integration. Now you are three months in, it sounds like it's going well and you are on-track your synergy targets. Has there been any surprises to the positive or negative, any color you would add surrounding the integration?
Michael Kneeland: Well I would say the positive is we had tendency to link towards speed when it comes integration it's our firm belief that you move that way and you get the benefit of it, I would say this is even faster than we expected. And that's what makes it difficult while Bill had to go through so many assumptions to give you NES standalone information, we view that as a very positive story operating as one company. Another is the timing improvement, if you looked at the slide - you saw that the right panel of that slide, you saw that NES came in a little bit heavy on fleet a little bit lower time utilization. Part of our improvement is that we’ve really ramped up that time utilization by absorbing that fleet quickly as a combined entity and it just go to approve that if you get everybody working together quickly, you can take advantage of all the capital that you have as a new combined team and that was probably even ahead of schedule of what we thought.
Nicholas Coppola: Yes, that’s certainly a strong chart there and then I guess just another question, I wanted to ask about there is another slide about Project XL moving more to infrastructure and can you just may be add some detail around how you are moving forward with that goal or the new equipment types or mix shift that we should be expecting or is it really just more of a sales initiative of reaching out to new contractor types, may be just kind explain on that.
Matthew Flannery: Sure Nick, it really is a focus on that key customer segment that project type and making sure that we're well positioned to identify the opportunities and that we’ve got the fleet to support those opportunities when we win them. So it's more of an adjusting new sales initiatives, but there is very much a focus that we're bringing to infrastructure projects now that we hadn’t in the past. You can see in that XL slide, the impact when you it compare to sort of overall aggregate infrastructure spending in the economy, we're out performing. So that’s the good news and we want to make sure that we continue to drive that focus because it’s a vertical where we think we line up very well with those kind of projects, those kind of customers. And don’t believe we were getting our fair share in the infrastructure space previously and we're driving hard to address that.
Nicholas Coppola: Okay. Perfect, thanks for taking the questions.
Operator: Thank you. Our next question comes from the line of Steven Fisher from UBS. Your question please.
Steven Fisher: Thanks, good morning. As you guys step back and think about the market today, how would you characterize the supply demand balance within rental and where do you see that balance headed in the next few quarters as you think about the demand trends versus industry CapEx addition. I mean would you say that it is actually kind of tight today in some of these markets, where you are getting pricing or is it just more kind of your own initiatives or are we headed toward a position of kind of a tight market per say.
Matthew Flannery: Steve its Matt, there are certainly initiatives right and coming out of the first quarter just like we did last year it's your time to take advantages of what the market can give you as far as your focus on time and rate. So the demand has to be there, but with that being said, we feel that this is it's not just broad base for us, we expect the industry is doing a better job of being very rigorous on capital management and returns and I think that we're seeing that play through. And there is no sign that we would expect that to diminish and everybody that we talk to whether it's OEM, whether its customers, everybody is feeling better about the industry demand and the industry behavior. I think that’s the most fair way to categorize that.
Steven Fisher: Okay I guess a related question just thinking about the strong time utilization, really just trying to gauge how much structural change you have made in driving efficiency and fleet utilization. I’m just curious how many points of time utilization do you think you have maybe added over the last year that are results of better processes and less OEC not available for rent you know that time utilization that may be sticky overtime.
William Plummer: Yes, I think it's great point and its one of the reasons why we felt good about the NES acquisition because that density of fleet in the market gives you the opportunity to drive higher time utilization and we do think we are enjoying that and when you think about where that midst of our fleet has come and you look at our year-over-year time utilization, we continue to mix in assets specifically in specialty that run usually lower time, in some instance significantly lower time, yet we keep climbing. So, you have to look at it by category to truly break down the advantage, but we're pleased about the time utilization a trend that we've created on a year-over-year basis and how that comps to the industry. We feel strongly that's due to our density, allows us to do things that may be a regional or a local player can't do from time utilization prospect.
Michael Kneeland: But thanks for recognizing the fact that we are putting an effort and changing our processes, there is a chart on our investor deck on page eight that shows the NES during the time of acquisition where it is today, and speaks volumes about our team stepping up and making sure that we leverage our capabilities to drive better time. The question we have to ask ourselves is, is there more for us to pull and we do believe that as Mat mentioned earlier, our team has earned it and we want to continue to make sure that we meet that demand, but there is lot of things that we're working on and as you pointed out our processes and lean management is paying some dividend.
Steven Fisher: Would that be as much as maybe a couple of points of utilization?
Michael Kneeland: It's hard to quantify exactly, because there are so many things that we were doing inside the organization.
Steven Fisher: Okay. Thanks a lot.
Michael Kneeland: Thank you.
Operator: Thank you and this does conclude the question-and-answer session of today's program. I would like to hand the program back to Mr. Michael Kneeland for any further remarks.
Michael Kneeland: Well thanks operator and I want to thank everybody for joining us on the call this morning. As always, we're available to continue the dialogue, we'll have more insights for you in 90 days, so in the meantime please feel free to reach out to Ted Grace, our Head of IR anytime. So I think this wraps it up for the day and we will see you at the end of the quarter. Have a great day. Thank you.
Operator: Thank you ladies and gentlemen for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.